Operator: Good day and welcome to the Pyxis Tankers Conference Call to discuss the Financial Results for the Third Quarter 2023. As a reminder, today’s call is being recorded. Additionally, a live webcast of today’s conference call and an accompanying presentation is available on Pyxis Tankers website, which is www.pyxistankers.com. Hosting the call is Mr. Eddie Valentis, Chairman and Chief Executive Officer of Pyxis Tankers; and Mr. Henry Williams, Chief Financial Officer of the company. I would like to pass the floor to one of your speakers today, Mr. Eddie Valentis. Please go ahead, sir.
Eddie Valentis: Good morning, everyone, and thank you for joining our call for results of the three months ended September 30, 2023. The Russia-Ukraine war continues to be center stage for the impact to the global energy market and disrupt economic and strategic priorities, as well as global relationships and trade. The recent turmoil in the Middle East may have far-reaching implications for all, including increasing global volatility for the oil market. Restrictive monetary policies have resulted in slowing economic activity and most recently, lowering of inflation within many OECD countries. China's economic recovery continues to lag expectations. In spite of these geopolitical and macroeconomic events, the product tanker sector maintains solid chartering activity and high asset values. At Pyxis, we continue to successfully navigate through these uncertain times and we are pleased to report good operating and financial results for the most recent period. Before starting please let me draw your attention to some important legal notifications on slide two that we recommend you read including our presentation today, which will include forward-looking statements. Thank you. Please turn to slide three. Our most recent quarterly results reflected healthy financial performance in revenues, operating cost control, and profitability, despite the effects of operating one fuel vessel in our fleet. In the third quarter, end of September 2023, we generated consolidated times charter equivalents PC's, of $9.3 million, a decrease of $2.7 million over the same period in 2022. Our daily time charter equivalent for our four eco-efficient MRs in Q3 2023 was approximately $28,000, which was down 3.6% over the same quarter last year, due to less spot charting activity. We reported net income of $3.1 million, or $0.29 basic EPS, for the most recent period, which was down from last year. Our adjusted dividend Q3 ‘23 was $5.5 million. Please note, our third quarter results were a sequential improvement from Q2 2023. In September, we announced two important strategic decisions for our company. First, we closed the $6.8 million equity investment in a joint venture for the acquisition of the 2016 Japanese-built Ultramax dry bulk carrier, which has been renamed the Konkar Ormi. We control the joint venture through 60% ownership with the balance held by an affiliate by our CEO and Chairman. We believe this counter cyclical investment in the first class eco vessel, which is scrubber and balanced water treatment system fitted, should provide attractive returns to Pyxis Tankers through a well-managed structure. Second, we have agreed to sell the 2015 vessel, Pyxis Epsilon, for a very attractive price 10-year high, of almost $41 million. The vessel's sale should close in December and net us approximately $26.4 million in cash after repayment of associated bank debt and transaction fees and expenses. Similar to the sale of our 2009 built MR earlier this year, we should make a sizable profit on the disposition of our eight-year old tanker. In the fourth quarter, we expect to realize a gain of $17.1 million or $1.62 per current outstanding share or $1.38 per diluted share. Upon closing of this latest transaction, we expect to have over $57 million in available cash to pursue additional opportunities. These funds, combined with the potential availability of moderate amounts of lower cost bank debt, could furnish us with the firepower to double the size of our fleet under the right circumstances. As you can see on slide flour, world events have significantly impacted our sector. Over the course of the third quarter, the product tanker environment experienced normal seasonal improvement in charter rates. Moderating economic activity was accompanied by reasonable demand for transportation fuels worldwide despite higher prices. The ongoing Russia-Ukraine war continued to result in moderating inventories of petroleum products, which remained below five-year averages in numerous locations around the world, changing trade patterns, expansion of ton mile, dislocations and markets creating arbitrage opportunities, and high transportation costs. For example, in the U.S., recently reported inventories of diesel were 13% lower than five-year averages. The refinery throughput should pick up in the fourth quarter as seasonal maintenance programs are completed, combined with healthy track spread from solid global demand for products and lower crude prices. These developments support a constructive outlook for product tanker charter rates. Please move to slide five for information on our existing fleet and employment activities. We're continuing to prudently maintain our mixed chartering strategy of time and spot charters with a focus on diversification by customer and duration. As you can see, we currently own an operator fleet of four eco-efficient MRs, which has an average of 8.9 years, about four years younger than the industry average of 13-years. As previously mentioned, the Pyxis Epsilon will be delivered to her buyers shortly after concluding her time charter. Three of our time [Technical Difficulty] are currently contracted under short-term T/C’s and one in the spot market. As of November 20th, 84% of the available days in Q4 for our MRs were booked at an average estimated TCE rate of approximately $29,600, which at this point represents a 6% sequential increase over our Q3 daily chartering results. Our newly acquired drive-bulk carrier, the Konkar Ormi, started her maiden voyage in early October under a short-term PC at $16,250 per day. Next, turn to slide seven for a further update on the product tanker market. In addition to my prior comments about the market, economic activity for most of the world has been resilient, despite the effects of restrictive monetary policies, the Ukrainian war, and other geopolitical events. The EU and G7 Group ban on seaborne cargoes of Russian refined products which started in early February 2023 at subsequent price gaps have limited Russian revenues, created market dislocation, which has been compounded by lower inventories of certain refined petroleum products in many parts of the globe. Product exports from the refineries located in the Middle East, U.S. and certain parts of Asia continue expanding. At the end of October a leading research firm forecast product tankers on-line demand to grow 6% in 2024, with cargo volumes to rise 3.5%. Please turn to Slide 8 to review several macroeconomic considerations which support fundamental sector demand. Historically, seaborne trade of refined products has been moderately correlated to global GDP growth. In October, the IMF slightly revised its global GDP growth estimate to average just under 3% per annum for ‘23-‘24, due to buoyant economic activity primarily in the OECD offset by the adverse effects of significantly higher interest rates and persistently high, but declining inflation. In November, the IEA slightly revised its estimate of global oil consumption to increase 2.4 million barrels per day or 2.4% to an average of 102 million barrels per day in 2023. A continuation of the recent crude oil production cuts of 1.3 million barrels per day by Saudi Arabia and Russia is expected to result in tighter supplies through year-end. However, incremental production is expected from the U.S., Canada, Brazil, Norway, and Guyana. Early this month, EIA reported that U.S. crude production hit a record 13.1 million barrels per day in August, and further growth is expected next year. Of course, invasive actions by Iran and the temporary relaxation of Venezuelan sanctions by the U.S. supplement global oil supply. High oil prices in the third quarter have subsequently receded due to slowing global economic conditions combined with sufficient supply. VRS tanker research recently stated that global refinery throughput should steadily rise during the current quarter to hit a record of 84.2 million barrels per day in December. Longer term, product tanker demand will be supported by net additions to global refinery landscape, further driving, ton-mile expansion and cargo volumes from the U.S., Middle East, India, and China. Now move to slide nine. The product tanker supply picture is clearer as the outlook for MR2s continues to look promising. While orders for the construction of new project tankers have picked up in 2023, the order book is still relatively low by historical standards. As of June 30th, 2023, Drewry estimated the order book for MR2 at 6.6% of the global fleet for 111 vessels. Due to huge backlogs, many Asian yards don't have available construction slots for MRs with deliveries until 2026. Delays in new built deliveries continue to be an unpredictable factor as slippage has run over 12% annually for the last five years. Another decision-making process for tanker ordering is further complicated by ongoing developments in ship and engine designs, stricter environmental regulations, escalating shipbuilding costs, as well as on evolving and still unclear selection and availability of lower carbon fuels. As many as 144 vessels or 8.5% of the global fleet is 20-years of age or older, significantly more than the order book. Given this large number combined with declining economics of operating older vessels, including higher adding costs, capital upgrades, possible slow steaming, as well as the implementation of new emission regulations and penalties starting in 2024, greater vessel scrapping should occur over the next five years. Thus, we continue to estimate the net fleet growth of MRs of less than 2% per year throughout 2024. Turning to slide 10, good chartering conditions have led to steep increases in asset prices across the board. In fact, a resale of a newly constructed MR2 is over $50 million for prompt delivery. Values for secondhand tonnage is still way above 10 [gigabyte] (ph) average, but prices for older tankers continue to soften. Construction contracts for new buildings now approach $47 million exclusive of yard with supervision costs and add-ons. Prices for young eco-efficient MR2s are still near historical highs, and attractive acquisition opportunities continue to be rare. The premium price we obtain for the Pyxis Epsilon exemplifies a seller's market for quality tonnage. Until we can develop compelling MR projects, we will continue to consider other sectors, which can generate a strong value proposition to our shareholders. For example, our recent investment in the dry bulk sector utilizes our management's deep knowledge and operating experience in mid-size carriers to achieve asset diversification at a different point in the shipping industry cycle, which allow us an attractive risk return profile. Maintaining a solid balance sheet with liquidity and quality, modern fleet is paramount to the flexibility and implementation of the strategy. Additional investments in the dry bulk sector may occur. At this point, I would like to turn the call over to Henry Williams, our Chief Financial Officer, who will discuss our financial results in greater detail.
Henry Williams: Thanks Eddie. On slide 12 let's review our unaudited results for the three months ended September 30th, 2023. Please note the company due to our control of the dry bulk joint venture consolidates in its financial statements the newly acquired Konkar Ormi. While we incurred approximately $700,000 of startup expenses at the end of the quarter, no revenues were recognized as your first voyage did not start until early October. Our time charter equivalent revenues for Q3 ‘23, which we define as revenues, net minus voyage related costs and commissions, declined to $9.3 million, a decrease of $2.7 million from the same period in 2022, due to lower spot chartering activity, which was offset by our utilization. More importantly, with the sale of our oldest vessel in March of ‘23, we operated one pure MR in the most recent period. In the third quarter of ‘23, the TCE rate for our MRs was $28,000 per day. Still a healthy historical rate, but down $1,000 in the comparable 2022 period. Moving to slide 13, we generated net income to common shareholders of $3.1 million for the three months ended September 30th, 2023, or $0.29 basic or $0.26 diluted EPS, compared to a net income of $5.1 million or $0.48 basic and $0.42 diluted income per share in the same period in ‘22. For accounting purposes, the fully diluted earnings calculation assumes the potential conversion of all the outstanding series A convertible preferred stock into common shares and the elimination of the associated dividend. In Q3 ‘23, a significant portion of the decrease in TC revenues flowed through the income statement as adjusted EBITDA decreased $5.1 million to respectful $5.5 million. Now, flip to slide 14 to review our capitalization at September 30, 2023. At quarter close, our consolidated leverage ratio of net funded debt stood at 27% of total capitalization and now reflects the inclusion of the Konkar Ormi, the weighted average interest rate of our loans was about 8.25% in the most recent quarter. The next bank loan maturity is scheduled for July of 2025. I should point out that as of September 30th, 2023, our total cash position was $34.1 million. Most of our excess cash is invested in short-term money market instruments, which currently earn an average deposit rate of 5.7%. Upon closing of the sale of the Pyxis Epsilon in December, our cash position should grow by another $26.4 million. As of November 14th, we have purchased over 294,000 common shares in total at an average price of $3.72, including commissions under our authorized $2 million buyback program. We have up to another $900,000 remaining under this program, which has been extended until May of 2024. Lastly, we have completed the 10th year special surveys for both the Pyxis Beta and Pyxis Karteria at an average cost of $2.3 million in 43 dry docking days. Our next special survey is not scheduled until 2026. With that, I would like to turn the call back over to Eddie to conclude our presentation.
Eddie Valentis: Thanks, Henry. Over the near-term, we expect fundamental demand to remain relatively imbalance exceptionally. Macroeconomic headwinds and rising uncertainty from geopolitical conflicts create challenges and opportunities for the product tanker sector. We continue to benefit from the combination of solid and market consumption, moderate to low refined product inventories in many parts of the world, changing trade patterns and expanding ton life. Scheduled developments for the refinery landscape only enhance the long-term outlook of our sector. We will effectively utilize our strong financial position of excess cash and the potential availability of moderate leverage, as well as deep industry knowledge and relationships to seize compelling investment opportunities that maximize shareholder value. We appreciate your interest and thank you for joining our call today. We look forward to reporting on future progress at Pixie Pyxis Tankers. Enjoy the fall and upcoming holidays and be well.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.
Q -: